Operator: Good day, ladies and gentlemen and welcome to the third quarter 2009 ACCO Brands earnings conference call. (Operator Instructions) I would now like to turn the presentation over to your host for today’s call, Ms. Jennifer Rice, Vice President of Investor Relations.
Jennifer Rice: Good morning and welcome to our third quarter 2009 conference call. On the call today are Bob Keller, Chairman and Chief Executive Officer of ACCO Brands Corporation, and Neal Fenwick, Executive Vice President and Chief Financial Officer. Slides that accompany this call have been posted to the Investor Relations section of accobrands.com. These slides provide detailed information to supplement this call. Our discussion this morning will refer to results on an adjusted basis for continuing operations, excluding all restructuring and other charges. Our adjusted net income does include a $4.2 million net loss on the early extinguishment of debt related to our September refinancing, which amounted to $0.07 per share. Excluding this effect, our adjusted net earnings would have been $0.23 per share. A reconciliation of these results to GAAP can be found in this morning’s press release. During the call, we may make forward-looking statements, and based on certain risk factors, our actual results could differ materially. Please refer to our press release and SEC filings for an explanation of those factors. Following our prepared remarks, we will hold a Q&A session. Now, it’s my pleasure to turn the call over to Mr. Keller.
Robert J. Keller: Good morning everyone. I will briefly take you through the high-level numbers, give you our perspective on our performance and progress, and ask Neal to take you through our refinancing and its implications. Earlier this morning we issued third quarter earnings. Our net sales were down 18% from the prior-year third quarter, excluding foreign exchange. Given our focus on expense management, operating profits declined at a lesser rate than sales—13%. It is important to note that our continued aggressive management of costs more than offset the deleveraging effects of our sales decline and that we actually delivered operating margin expansion in the quarter of 100 basis points, up to 9.4% from 8.4% a year ago. We also reported EBITDA of $42.5 million and adjusted net income was $8.7 million, or $0.155 per share. Excluding the effect of refinancing, which was a loss of $0.075 per share in the current year, and a gain of $0.01 in the prior year associated with the purchase of sub notes, our comparable EPS increased $0.01 to $0.23 per share compared to $0.22 per share in the prior year. We generated $29.0 million of net cash flow in the quarter and raised our guidance for cash flow available for debt reduction to $40.0 million to $50.0 million, up from $30.0 million to $40.0 million. On the customer front, our improved execution continued to make a difference in our customer relationships. During the quarter, we were recognized by Office Max as their most improved supply chain performer. In addition, we were named the preferred supplier by United Stationers for the stapling, binding systems, and computer accessories categories, and as a result ACCO Brands' products in those categories will be featured in the beneficial lead position of all United Stationers marketing materials and catalogues, with preferred pricing and advertising opportunities throughout the coming year. We were also named as one of Staples' strategic suppliers, another acknowledgement of the progress we've made in that very important relationship. And last, but certainly not least, we recently were rewarded our first business at Target, an important step in our goal to compete more effectively in the mass market channel. In summary, we believe that we continued to make progress during the quarter in repositioning our business for success. Our customer relationships are healthier, our supply chain is executing better, our new product development organization has been energized, and with the refinancing, we have strengthened our financial foundation. As a global company, we are still dealing with a recession that has had, and is still having, global impact. From our vantage point, our U.S., Canadian, Latin American, and Asia Pacific businesses have rebounded slightly from their lows earlier in the year. Our Australian businesses are reflecting the healthy improvement in the Australian economy but our European business remains challenged, consistent with the overall European economy. We continue to believe that our cost structure is appropriate for the current global economic environment and remains highly leverageable if conditions were to improve. Now I will turn the call over to Neal for a more in-depth look into the quarter's results.
Neal V. Fenwick: Before I review the details of the quarter, I want to start by recapping the refinancing that we completed in September. Specifically, we sold $460.0 million of senior secured bonds, negotiated a new $175.0 million asset-based revolving facility, and repurchased $29.0 million of our subordinated debt in the open market. At the same time, we repaid four of our senior debt under the previous capital structure. The refinancing unburdens us from both mandatory debt and authorization and the quarterly maintenance covenants in our prior capital structure that constrained our operational flexibility. The refinancing should eliminate any uncertainty about our financial well-being among customers, suppliers, and investors. The bond offering itself was significantly oversubscribed, which enabled us to achieve a lower overall rate and increase the size of the offering, using the incremental proceeds to repurchase some of our subordinated notes at market prices, thus resulting in a $5.0 million discount on the redemption. Finally, the refinancing provides comfort in the event of further economic deterioration, adequate liquidity to finance growth coming out of the recession, and a long-term horizon before any maturities. The early extinguishment of our old debt triggered a write-off of previous debt finance fees. This was partly offset by the gain on repurchasing the sub notes at a discount and all in resulted in a net loss in the quarter of $4.2 million, or $0.07 per share, which is included in our adjusted results. Now turning to the results of the quarter, our performance is recapped on Slide 4. Sales declined 21.5%, with volume down 20%. Foreign exchange impacted sales by 3.4%. Slide 5 shows that the largest driver behind our revenue decline continued to be the economic decline, which has impacted business in all our markets, reducing sales volume by $77.0 million, or 19%. Adjusted gross margins improved 10 basis points, to 31.2%, a notable difference from the first half declining gross margin of 190 basis points. The third quarter marked the beginning of easing commodity costs and exchange rate comparisons year-over-year. We believe this trend should continue on a comparative basis for the next couple of quarters. However, we still continue to experience an adverse profit mix from lower sales of higher-margin durable products. SG&A was substantially lower in the quarter, down $22.5 million, or 25%, and SG&A margin improved 90 basis points to 21.3%. The improvement was entirely the result of cost-reduction initiatives and lower selling expenses, which more than offset the adverse leverage from reduced volume. The course also reflects a return to normalized salaries and a small accrual for employee furlough repayments for our U.S. business. All in, adjusted operating income declined 13%, including foreign exchange translation, which had a $1.4 million adverse impact. Our operating margin increased 100 basis points to 9.4%. EBITDA declined 9% to $42.5 million. This includes $1.9 million of [bad to us] foreign exchange translation. We believe the third quarter should be the low water mark for our trailing 12-month EBITDA, which was $139.1 million. Adjusted EPS from continuing operations was $0.15 per share. This includes the $0.07 net loss related to the early extinguishment of debt associated with our refinancing in the current quarter and a $0.01 gain associated with repurchasing of bonds in the prior quarter. Excluding this, our adjusted EPS would have been $0.23, a $0.01 improvement over the comparable prior-year quarter. Turning to an overview of our segments on Slide 6. In the Americas, sales declined 21%, or 19% excluding currency. We continued to see the impact of continued weakness in business spending across all markets, however, demand appears to have stabilized. We had a solid back-to-school season, given the recessionary environment, and POS data continues to show that our sell-in to customers matches their sell-out. Operating margins for the Americas segment increased 150 basis points to 9.3% as a result of less adverse commodity costs and cost-reduction activities, which both offset the impact of lower sales volume and adverse product mix. In the international segment, sales declined 21%. Excluding currency, sales declined 15%. Europe was the main driver of the international sales decline while Australia delivered its first quarter of sales growth versus prior year. International segment margin declined 100 basis points to 7.5% principally due to the lower sales volume and lower profit in Europe. Recall that during the second quarter we implemented additional cost-reduction activities in our international businesses to help offset the continued erosion in volume, where economic trends have lapped the U.S. These included closing our Turin, Italy, distribution center and we should start to see greater benefits materializing in Q4. In computer products, sales declined 24%. Excluding currency, sales declined 21%. This business continued to be impacted by overall lower demand and the impact of lost sales from the bankruptcy of Circuit City, which accounted for 7% of the segment decline. Computer products operating margin improved 530 basis points to 24.9% from 19.6%, principally due to substantial reductions in SG&A, which have offset the impact from lower sales volume. The current quarter's segment income includes a $1.0 million gain from the liquidation of Circuit City inventory returns at favorable recovery rates. Slide 7 recaps our nine-month results. To summarize: from a gross margin perspective, the first six months of 2009 were very challenging with a number of headwinds impacting us, in addition to the lower overall demand. In the third quarter, gross margin expanded 10 basis points as we began to lap the year-ago peak in commodity costs, which resulted in a 70 basis point tailwind in the quarter. In SG&A, reduced selling expenses and cost savings continued to offset the deleveraging caused by the lower volume. While the adverse impact from foreign exchange was less, it was still adverse in the quarter and on a year-to-date basis has reduced sales by $82.0 million and EBITDA by $12.0 million. Foreign exchange will become a benefit in Q4, assuming today's exchange rates continue. Slide 8 recaps our third quarter cash flow and balances. Cash flow was strong in the quarter, $29.0 million. We now anticipate cash flow for the year of $40.0 million to $50.0 million and the increase of $10.0 million from the previous forecast, based on the change in the cycle of our interest payments associated with refinancing. Debt was slightly higher than in Q2, driven by the refinancing, which added $60.0 million to our debt, partially offset by our operating cash flow in the quarter. We expect debt to come down in Q4 as we reduce our ABL toll with cash generated in the quarter. Slide 9 recaps our outlook for 2009 and our early perspective on 2010. We did revise our sales outlook for the second half of 2009 for declines in the low-teens due to the change in foreign exchange rates. Since the change is foreign-exchange driven, there will only be minimal flow-through to the bottom line because the impact on costs will be similar. In terms of 2010, we expect sales to be flat to slightly up, despite lower demand driven by share gains and favorable foreign exchange translation, but importantly, we expect to demonstrate operating profit growth, even if the top line is flat, due to completed cost reduction initiatives and favorable commodity costs and foreign exchange rate movements, which more than offset the normalization of U.S. salaries. And finally, Slide 10 includes a host of modeling assumptions. I draw your attention to the effective tax line. Our tax line has become hard to predict because of accumulated tax losses and tax valuation allowances in the U.S. and certain foreign countries. Our cash and book taxes are entirely based on our profitable foreign countries, while tax losses in the U.S. and certain foreign countries reduced net income without any tax offset, making our tax rate highly volatile. Therefore, it is difficult to quote an effective tax rate and I recommend you use between $20.0 billion and $25.0 billion as the book tax value. At this point, Bob and I will be happy to take your questions.
Operator: (Operator Instructions) Your first question comes from William Chappell - SunTrust Robinson Humphrey.
William Chappell - SunTrust Robinson Humphrey: First, looking to both fourth quarter and 2010, it's certainly nice to see that sales are flattening out or maybe see some positive news, but I would assume that you have at least a 1% to 2% tailwind from currency. And I think last quarter you had expected to be flat to up anyway, so is there any change in demand you're seeing? Have you won any new contracts since we last talked after the second quarter, and are there any new contracts that you still could win between now and year end?
Neal V. Fenwick: In the third quarter currency was still adverse for us. It become favorable in October, and so at that time it will become a tailwind, which will help us. And certainly through the first half of next year it's also going to be beneficial. So you are absolutely right, currency becomes a help but actually in the third quarter it was still a drag on the business. In terms of our ability to pick up additional contracts, I'll Bob answer that question.
Robert J. Keller: I think we looked at the third quarter and felt it was pretty solid and now the question is whether or not that will translate to the holiday season, but the back-to-school season came in at least as well, as we expected. And as I mentioned in my remarks, we recently were awarded a contract at Target and if we execute well on that I think we have reasonably significant expansion opportunities there, so we feel good about that.
William Chappell - SunTrust Robinson Humphrey: So I shouldn't read anything into next year's somewhat conservative guidance other than it's just too early to tell?
Robert J. Keller: I think we would like to get into the mode of under-promising and over-delivering. I don't know that historically we've been particularly good at that and so, yes, we're just calling it as we see it.
William Chappell - SunTrust Robinson Humphrey: I'm all for that. Second, just looking at the back-to-school season, any reason that you can tell why it was a little bit better than expected? I think the general theme three or four months ago was it was going to be a horrendous back-to-school season and it seems like for both you and Rubbermaid it was a little better than expected. Any idea why that was?
Robert J. Keller: I think the office superstores were more aggressive this year than maybe they were a year ago. I think they walked away a year ago and thought that they had lost some share to the mass channel and were more aggressive about trying to get people into the stores and I think both Staples and Depot have commented that they were pretty pleased with the results of their efforts, and that clearly helped us.
William Chappell - SunTrust Robinson Humphrey: On headcount reduction, especially in Europe, are we all done there or are there any further changes to happen?
Neal V. Fenwick: We made the last physical closure in August with the closure at the end of August of the distribution center in Turin, but there is still a tail of people coming out in Europe and part of that is to with as and when systems get bedded down, you can take the final people out. And so people will be coming out throughout the fourth quarter in Europe.
William Chappell - SunTrust Robinson Humphrey: On the gross margin, this was the first time there was gross margin improvement, year-over-year, in six quarters. But it sounds like there are still some lower costs to come. Is that still the case in terms of commodity costs?
Neal V. Fenwick: Yes, we should see exactly the same trend in the fourth quarter and if you recall—I tried to explain this last year—that our P&L reflects a time lag of about six or seven months to reality of what happened with commodity costs, so the peak load in our P&L on commodity costs was in Q4 and in Q1 again took another belting. And so you'll see gross margin expansion from commodity costs comes through in our reported P&L in both Q4 and Q1.
Operator: Your next question comes from Arnold Ursaner - CJS Securities.
Arnold Ursaner - CJS Securities: In your H2 09 and 2010 outlook you mentioned that management incentives, you had suspended plans for the first eight months of 2009 and that they would resume. My question is, have they already been put back in place? Is that why you highlighted that they were in place for just the first eight months?
Robert J. Keller: We have approval from our board that if we exceed the original operating income targets of the business that were set in October of last year that any excess of that target number would be used to fund management incentives.
Neal V. Fenwick: It's also worth noting that in the third quarter we restored salaries and so we went back to full salaries in the U.S. In addition to that, we actually accrued about $1.3 million associated with our intention to repay our employees for the expense of the furlough that they helped us in terms of getting through our bank covenant position and therefore we do have a year-over-year increase in expense and the real issue for us is getting to the point where, for us, third quarter was a tough comp in that we released a lot of incentive accruals last year and therefore underlying performance is perhaps even stronger than it appears.
Arnold Ursaner - CJS Securities: That's my point. So you actually have already absorbed the expense of restoring some of these benefits that occurred in Q3?
Neal V. Fenwick: Correct.
Arnold Ursaner - CJS Securities: My second question relates to the outlook for cost cutting. You mentioned $80.0 million of anticipated benefits, $66.0 million ongoing, but you have taken $43.0 million of that in completed activities. The remaining $23.0 million, when should we assume that will occur?
Neal V. Fenwick: The $43.0 million comment was a comment as at the last quarter end. For this quarter end we have actually completed all of the activities that need to be done.
Arnold Ursaner - CJS Securities: So we will get the full year benefit of that in 2010, and that has already occurred? These are not hoped for, potential benefits, but things you have already done?
Neal V. Fenwick: You're correct on it. The second half of the year we will benefit with additional cost reductions which weren't in the first half and also the rest flows into next year. But the one thing that doesn't repeat in the first half of next year is the benefit of the pay cuts, which helped the beginning of this year by approximately $15.0 million.
Arnold Ursaner - CJS Securities: Neal, you mentioned in the press release that in computer products your gross margin improved almost 500 basis points but you mentioned it was primarily the result of a substantial reduction in advertising selling G&A. My question is I want to make sure you didn't starve the business to get the margin up that quarter. Can you give us a better feel for perhaps the discretionary advertising spending you pulled back and if it's likely to return in the seasonally more important Q4?
Neal V. Fenwick: Two separate things. We also benefitted from about 230 basis points, which is the $1.1 million of gain we picked up by reworking Circuit City returns of product. And so that actually had a strong benefit in the quarter. The reduction in advertising is really a year-over-year thing. We spent a lot of advertising in the third quarter last year and so that really shows up as more of a distortion. But we have consciously limited our SG&A support this year, mainly because we think the market has not been strong and because our businesses really lost position in retail, which takes a lot more support. For example, Circuit City is not there. And our strong suit in that business has always been in the OEM VARS commercial channel and that doesn't require the same A&P support.
Arnold Ursaner - CJS Securities: You have been constrained due to various covenant issues about even small tuck-in acquisitions. With this additional flexibility, I know you've got a fairly full plate, but where do you view acquisitions now, what can you do under your lines, and how should we think about even small, tuck-in acquisitions as part of your growth strategy?
Robert J. Keller: As part of our strategy, it's clearly part of our strategy, but in the near term, we think we've got an awful lot of work left to do and we're focused on getting the business back to where we think its appropriate operating levels should be.
Neal V. Fenwick: From a bank covenant point of view, there are some short-term restrictions which apply to the business until we get our senior leverage down below 2.5x. We do have the ability to make certain acquisitions even before then, but realistically, the business will both be ready for acquisitions and also should be in a position where its fortunes have carried on improving to the point where there are no restrictions, our ability to make acquisitions from a banking point of view at the time that the business, in my opinion, would be ready to think about them. And that would obviously be into next year.
Operator: Your next question comes from Reza Vahabzadeh - Barclays Capital.
Reza Vahabzadeh - Barclays Capital: Can you give us any kind of color on how the category is doing? So how POS perform at your top customers in the key back-to-school season, was it roughly in line with your volume decline? Any color on that would be appreciated.
Neal V. Fenwick: As we put out on the last conference call, and that trend has continued, we see a big difference between performance at retail commercial and in our direct sell channel. And so just to recap, performance at retail was circa minus 10, performance in our commercial channel was circa minus 20, and in our direct sell business, minus the low-30s. And that trend hasn't changed in the third quarter. So predominantly what we've seen in our customers, in a retail sense, are focusing on more supplies and less technology, which I think has been part of why we, and to the earlier comment, Newels, saw reasonably good back-to-school performance. They've kind of gone back to their roots in that respect. And so from an end user consumer, the only market we've change is Australia, where our Australian business actually swung back into growth in the third quarter, sadly offset by continued decline in Europe.
Robert J. Keller: We did see a little bit of a lift in the durables part of our business in September. And Neal has made the point externally on multiple occasions that that part of the business, its success is predicated on business optimism and so one month clearly isn't a trend, but it was nice to finally see a little bit of a lift in that business. And we will see going forward.
Reza Vahabzadeh - Barclays Capital: And then as far as the FX is concerned, how much of an FX benefit are you incorporating in your initial preliminary 2010 sales guidance?
Neal V. Fenwick: Foreign exchange for Q4 will actually offset the kind of foreign exchange loss in the third quarter, more than. It will be a positive in Q4 for us. Going into next year, it should add at least three or four points to our top line.
Reza Vahabzadeh - Barclays Capital: On commodity costs, obviously cost, as you mentioned, fell starting third quarter last year. For how much longer can you benefit just from the lower input costs offset by any kind of a negative price action you've taken?
Neal V. Fenwick: I will say, and I'm sure you understand this point well, but for the greater audience, if you look at cost over a longer-term frame, what you would see is the cost spiraled up at the very end of 2007, really ramping up in the first half of 2008 dramatically and have subsequently fallen. And the beginning of this year started to rise a little bit. But the level they've risen to, and if they stabilize at this level, it's actually no different to where they were in 2007. And so if you forget the whole gyration that occurred through 2008 and 2009, what you end up with is that our sales prices and our costs are in line, at this moment, given that we didn't raise prices last year. And so, we're back where we want. But remember, our P&L lags that effect and that's why year-over-year we pick up a benefit in our P&L rather than in terms of what we're actually buying the products at.
Reza Vahabzadeh - Barclays Capital: On the cash flow guidance, the increase that you mentioned, is the increase largely due to the interest payment timing or is there something else in there as well?
Neal V. Fenwick: It's exactly due to that. The secured bond we have has basically a six-month coupon, which is paid. And so under our old bank debt, we would have paid monthly interest out throughout the fourth quarter and now it just all gets paid out at the end of March.
Operator: Your next question comes from Derek Leckow - Barrington Research.
Derek Leckow - Barrington Research: Question on the guidance on 2010. I don't see anything in here for new products, even though on Slide 3 you talk about that as being a major initiative. I wondered if you could say, are you expecting anything from that or is it going to be simply to offset some losses in some other categories? How should I be thinking about the introduction of new products next year?
Robert J. Keller: It's already built in. We have gone through the line reviews with our customers and we presented the future products to them as part of the line reviews, so when we talk about a $60.0 million net market share gain, it includes the effect of new products introduced over the course of the next 12 to 14 months.
Derek Leckow - Barrington Research: What should I be thinking about in terms of pricing? Obviously that has a positive impact. If you have $60.0 million of new in there, is that right? And what sort of pricing impact are you assuming at this time?
Robert J. Keller: We're assuming zero impact on pricing at this point in time. And we're not through those negotiations with our customers yet, but as Neal's mentioned, we didn't raise prices in several of our major markets last year, based on commodity costs, and so we are in a pretty competitive position right now.
Derek Leckow - Barrington Research: Would the new products not have a natural higher price point, as they replace older products?
Robert J. Keller: Not necessarily. Actually, what we've talked about previously is we want to bring price performance improvement to the marketplace and so it's a balance.
Derek Leckow - Barrington Research: And I have a question on the computer products selling channel. What is happening there, as it relates to the bankruptcy? You mentioned that being a 7% impact here in the third quarter. When do you see that stabilizing and where does that share go and what impact does that have on your business?
Neal V. Fenwick: From when did we calendarize out, it's Q4 is the last quarter where you will see that effect. There is a tiny amount in Q1 but Q4 is the last big quarter for it. The share obviously went to other retail customers and we don't have high penetration at retail and therefore we did not pick up that share. Other people picked up that share. From a margin point of view, retail has always been the weakest margin in that area. It's much more an OEM added value reseller commercial market for us in that market for us. It predominantly sells very high-margin security products which don't sell very much through the retail channel and therefore from a margin point of view, the loss of retail actually is a positive mix for us.
Derek Leckow - Barrington Research: And does the next wave of capital equipment spending for computer products associated with the Windows 7 introduction, does that tend to give you a more positive outlook?
Neal V. Fenwick: Any expenditure by corporations on any form of durable, be it office product durables or computer product durables, helps our business. And so fundamentally, we require—our main consumer is a business consumer and so anything that drives consumer purchasing is good news for us.
Operator: Your final question comes from Karru Martinson - Deutsche Bank.
Karru Martinson - Deutsche Bank: In terms of the mass channel, I think a couple of quarters ago you highlighted a number of product wins and obviously we have gotten the intro at Target. When should we start to see those sell-ins for the other products into the mass channel?
Robert J. Keller: I think you will start to see a little bit of impact in the fourth quarter from the success that we've had at Walmart and when at Target, you will start to see the impact of that in the first quarter of next year.
Karru Martinson - Deutsche Bank: And in terms of how the pipeline, what you're looking at for 2010 and beyond, for that channel.
Robert J. Keller: I think we're at a stage in that channel where we need to execute now. I think they've taken a look at our products and our brand strength and decided that from those two vantage points that we would be a good partner to have and they have pretty rigorous demands on the supply chain side, and we have to execute against them. If we execute well, I think we have opportunities for expansion in that channel.
Karru Martinson - Deutsche Bank: And when we look at the revenue in the third quarter, the loss placement and contracts, is that lower margin business that you are calling yourself, or where is that business going? It was only $6.0 million in the quarter.
Neal V. Fenwick: Most of the business in our industry moves on the annual contracts, and so the share loss that we have this year was decided last year, much as the share gains that we've spoken about, the $60.0 million of share gain, really impacts 2010, and there is a little bit of pipeline fill in December, but from an out-sell point of view. And so this was all share we lost to competitors and in this particular case, we lost the ring-binder category at Walmart is one of the big drivers of this, coupled with the loss of Circuit City, which also appears.
Karru Martinson - Deutsche Bank: What is the balance on your senior sub notes, post the buyback?
Neal V. Fenwick: We bought back $29.0-something million and so it was $300.0 million less $29.0 million, so it will be about $271.0 million.
Operator: This concludes our Q&A portion of today's call. I would now like to turn the call back over to Mr. Bob Keller for closing remarks.
Robert J. Keller: Thank you again for joining us this morning. We hope to see many of you at investor conferences over the next couple of months and I look forward to updating you on our progress at the end of the quarter.
Operator: This concludes today’s conference call.